Operator: Good day, and welcome to the Ondas Holdings' Second Quarter 2022 Earnings and Business Update Conference Call. [Operator Instructions] Please note that today's event is being recorded. At this time I would like to turn the conference over to Eric Brock, Chairman and CEO. Please go ahead.
Eric Brock: Good morning. It's a pleasure to welcome you to our conference call. I'm happy to be joined today by our Stewart Kantor, the Founder and President of Ondas Networks; and Reese Mozer, American Robotics Founder and CEO. I want to note that due to scheduling in international travel conflicts, Derek Reisfield, for a President and CFO is unable to participate in today's call. I will handle the financial review in his place. I'm going to start to call by emphasizing that business is on track at Ondas and the technology base leadership positions we are staking out in critical infrastructure in services markets continues to strengthen. Ondas Networks continues to make advances with the Class I rails on the 900 megahertz network. Our launch activity continue to pace and we are seeing expanded opportunities such globally in new networks, new products and new geographic regions. Of course, we believe today is news regarding the Siemens order, which I'll touch on in a moment is a clear signal, our growth trajectory is ahead. At American Robotics, we're continuing with the field work with our initial franchise customers, maturing the pipeline and preparing to onboard additional franchise customers. Importantly, as we do this we are enhancing our capabilities with investments in new payload and data analyst capabilities, all of which we will provide updates on today. Our success in the field with customers and ecosystem partners is demonstrating that our business plan is creating value and highlights our unique position to deliver our valuable technology platforms and data solutions to the large end markets we are targeting. The strength of our technology platforms, market leadership and business plan was demonstrated by the 2 recent significant events we want to highlight at the outset of the call. Obviously, I'm speaking firstly about the Siemens volume order we announced today; and secondly, the Airobotics acquisition, which was announced yesterday. I will make some high-level remarks about the strategic significance of both transactions and we will be sure to provide details of both during the call. So let's start with the big rail. We are thrilled to share with you that we have received the first volume order from Siemens for commercial deployment of our FullMAX platform in the 900 megahertz network with Class I rail customers. This is an incredibly important milestone for Ondas Network and is the culmination of several years of hard work to establish our FullMAX platform in the global rail sector. Secondly, we are similarly excited to share the news that we've entered into a merger agreement to acquire Airobotics. As you will learn today, Airobotics brings to Ondas an incredibly talented team, along with the Optimus system, a proven world-class automated drone platform, which is highly complementary to AR's market-leading Scout system. They also bring in order pipeline and access to markets that immediately expand AR's product portfolio and market reach. We believe the combination of Airobotics with America Robotics is a seminal event in the UAS sector, creating a leading global provider of commercial drone solution capable of scaling for customers. With these 2 major strategic achievements, we are able to confirm not only that business is on track at Ondas, but also that our leadership positions continue to strengthen. I will now share some high-level details on the Siemens 900 megahertz order. As I do, I want to start with a well-earned congratulations for the team at Ondas Networks. It's fair to say that establishing a new mission-critical wireless network architecture like FullMAX is a once-in-a-generation event in the critical markets we target. As we celebrate this milestone, I want to also share our appreciation to our investors. This has been a multiyear effort and one which we have successfully navigated with your support. This multimillion dollar order marks the beginning of commercial deployment in the greenfield, 900 megahertz network and in a broader sense, the adoption of our FullMAX dot 16 systems across the rail sector in North America. This is a major inflection point as we move towards producing material revenue growth and begin our path to profitability. I want to highlight that the Siemens order calls for deliveries to convince in 2022 and includes a mixture of next-generation ATCS base stations and remote edge radios, which we have jointly developed with Siemens. In addition, the order also includes venus base stations and Mercury and Venus edge remotes, which are catalog products of Ondas Networks marketed by Siemens under the Airlink brand name. Stewart will provide further details later regarding the rail rollout, but I want to emphasize here that this is a major step forward, and we believe we will begin to build momentum for additional bookings and backlog growth as we move through 2022 and 2023. Let's turn now to another key message upfront. We are investing, and we have access to capital. It's not lost on me that we are operating in a difficult financial climate. I want to assure you that we are up to the task. Customers need us to deliver, and we will. We believe the rewards for doing so will be substantial. Now is not the time to be timed, and I'm extremely confident in our ability to match us lead these MC-IoT markets but to define these solutions. We will invest, and I believe we will have support from customers, strategic partners and deep-pocketed investors. What we are able to do from a technology standpoint is unique, and we have invested substantial amounts in our wireless network and drone platforms to allow our industrial and government customers to garner significant value in terms of operating efficiency and safety by deploying our technical solutions. As we have demonstrated with the Airobotics acquisition, our leadership position, balance sheet and access to capital are providing incredible opportunities for Ondas to grow and enhance our technology platforms faster and to accelerate time lines. We have a very strong balance sheet, our equity position is significant, and that equity is backed by multi-patented intellectual property that has incredible strategic value to Ondas and others. We have $28 million of cash at the end of June, and we have created the flexibility to expand our growth plan with the ATM equity facility we announced in the spring. The market volatility and nascent elements of our end markets is creating the opportunity to seize leadership, accelerate our business plan and deliver on the promise of our hard work for our investors. So with these opening remarks, I will now outline the agenda. I will start the call with an overview of Airobotics and the transaction. Next, I will pinch hit for Derek today and provide the financial review, and then we will have an update on our business plan progress. Stewart and Reese will lead that discussion. I will wrap the call by focusing on the outlook before holding a session for investor Q&A at the end. We announced the LOI for the acquisition on June 5, and on Friday, August 4, we've reached a definitive agreement to acquire Airobotics in bringing our 2 industry-leading and highly complementary platforms together. This transaction advances our plan and uniquely positions us to scale on behalf of franchise customers and accelerate the growth of the commercial drone market. This landmark acquisition combines world-class talent and technology platforms, it builds on our combined regulatory expertise with the FAA and other regulators around the world and offers the broadest set of automated drone solutions to critical sectors and governments across the globe. The financial benefits extend to enhance revenue opportunities, and we believe a significant reduction in redundant spending as the combined engineering effort can be spread across 4 capabilities in both the existing and future autonomous UAS platforms. Investments in R&D across 4 autonomous functionality, machine vision, payloads and analytics as well as user interfaces and safety systems can be shared across a wider set of customers, end markets and geographies. Importantly, we believe this deal Siemens Ondas' position as uniquely capable of making the investments today to grow in scale in an industry which we believe is poised to consolidate. In the drone space, we believe the technology is ready and customers and regulators are increasingly supportive. Consolidation is happening in a winner take most market, Ondas' competitive position is strong and will be now stronger still with our unique strengths being valued by customers. We do this for them. Before I dig deeper into describing Airobotics, I want to play a brief video that illustrates the Airobotics Optimist platform. [Audio/Video Presentation] Let me now provide an overview and introduction to Airobotics. The company was founded in 2014, outside of Tel Aviv, Israel. The company has publicly traded listed on the Tel Aviv Stock Exchange and has 40 employees. As reported in Airobotics financial filings in 2021, Airobotics generated approximately $3.3 million in revenues and also generated another approximately $1 million in drone platform sales classified as an asset sale under IFRS accounting principles. So there were over $4 million in sales activity for 2021. The company has been supported by sophisticated investors, including OurCrowd out of Israel, Pavilion an investment group affiliate with Temasek of Singapore and Alpha Intelligence from Hong Kong. All told, Airobotics has invested over $130 million in this technology platform and business development activity, which has resulted in a robust technology platform addressing high-value UAS markets. Similar to American Robotics, Airobotics offers customers a drone in the box platform. They call this the Optimus system. The system targets the very high end of the market, including Smart City and Homeland Security applications, where they have systems operating with government entities in the United Arab Emirates or UAE. They have ongoing activity in Israel with one of the world's largest technology companies connected to the management of major ongoing construction projects related to the development and maintenance of semiconductor fabrication facilities. Airobotics also has business activity with major defense contractors in the Middle East. We believe these programs will expand in the coming quarters as will the number of customers active in the field with Optimus systems. The Optimus platform is offered either as a service model or via direct sales in the functionality of the platform, which we will describe in a bit commands a premium value with customers. I want to highlight that that Optimus UAV is in the advanced stages of type certification process with the FAA. This will be one of the first small unmanned vehicles or UAVs to receive this certification and provides the combined company with significant strategic and financial benefits. Strategically, we believe this deal is beneficial for Ondas American Robotics and Airobotics employees and investors, but most importantly, it's a win for our customers. The combination of Airobotics and AR creates a global player providing automated data solutions for a wider group of customers. The combined technology and intellectual property extends our leadership position in these markets, and we will continue to invest and build on this significant competitive strength. Through this deal, we are able to combine leading UAS and robotics talent, strengthening our capabilities in product development in both hardware and software. Talent is a huge strategic advantage here. Both companies are leaders in regulatory affairs and have strong track records with regulators both in the United States with the FAA and now in international markets. And the global marketing benefits are significant as we will immediately add new franchise customers in an impressive pipeline of opportunity. Airobotics has a mature customer pipeline focused on a fleet deployment strategy similar to AR. The financial benefits are sizable with both revenue upside and immediate opportunities with Airobotics customers in addition to we believe, the material benefit of the scale of redundant costs and overhead expenses. Let's discuss key terms. This is a very straightforward deal. It's an all-share transaction with each share of Airobotics receiving 0.1606 shares of Ondas. That equates to approximately 2.8 million Ondas shares, which excludes approximately 1.7 million Ondas shares and underlying options and warrants, which will be outstanding after the close. The transaction is valued at approximately $15.2 million as of Friday, August 5. In addition, we have agreed to provide a senior secured loan of up to $1.5 million to Airobotics prior to closing. And as noted in our press release, we anticipate closing the transaction in the second half of 2022, subject to customary conditions, including approvals by Airobotics shareholders. The Optimus UAV platform is extremely impressive, again, targeting the high end of the automated drone marketplace. Optimus is a fully autonomous full stack platform providing you end-to-end solution with multiple payload options, including real-time video paired with sophisticated analytics packages. The system is rugged and designed for harsh weather in industrial environments. The base station is versatile with the ability to autonomously swap batteries and payloads leading to unmatched versatility that is valued in the high-end use cases where continuous operation is required and where customers value real-time video in addition to inspection and monitoring services. In addition, the imagery interfaces and customer data portals are highly sophisticated in providing real-time information to customers. As we have emphasized, the Scout and Optimus systems are highly complementary and together cover a broad spectrum of use cases. Both systems have been architected for specific applications, which meet differing requirements and price points for our customers. As you know, American Robotics has focused its efforts out of the gate in oil and gas, mining and rail markets in addition to its historical presence in agriculture. Other industrial and critical infrastructure markets will follow for Scout. Airobotics, on the other hand, focuses on security, public safety and defense as well as smart city and construction management end markets. As mentioned, you can think of the Optimus platform as hitting the very high end of the market where both the versatility of batteries warping and 24/7 operation, along with the ability to swap payloads autonomously are critically important and valuable. On the other hand, AR Scout system is targeting the sweet spot for asset inspection and monitoring of field equipment and infrastructure systems typically in rural settings. On the regulatory side, AR's BVLOS approvals remain best-in-class. Airobotics has excellent credentials with the FAA in its own right. It is in the process of getting type certification of the Optimus UAV with the FAA. I will expand on the FAA type certification benefits in a moment. Lastly, it's critically important to understand the benefits of a global footprint. We believe we can efficiently bring the Airobotics Optimus platform to the U.S. for public safety and government customers as well as for construction and even certain critical infrastructure markets. Similarly, the team in Israel will lead our international expansion for American Robotics and support marketing efforts for Ondas Networks in Israel in the broader region. Let me wrap up the intro to Airobotics with a focus on regulatory leadership. As you are well aware, AR's BB loss operations are unique and scalable for customers. We have incorporated proprietary detected a void technology in other systems and have well-established CONOPS for safety. Airobotics on the other hand is one of a select group of small UAS operators pursuing type certification of its vehicle. This is a difficult and rigorous process and demonstrates the quality of the system that Airobotics has products has developed. And they are well advanced in this TC process with the FAA. We expect Airobotics to be one of the first small UAS players to receive this certification. The type certification will allow for greater flexibility for flying over people and in urban areas. Combined, the capabilities of BVLOS and type certification is a huge win for Ondas. This dramatically increases our TAM and regulatory moat. It helps our ability to scale with new customers and fleets and provide significant time-to-market advantages and cost savings on future regulatory activities. As we transition to the financial review, I want to note that Reese will share additional highlights about the benefits of the combination with Airobotics and the integration of the companies. As I mentioned earlier, due to international travel, Derek is unable to attend the call, so I will present our recent financial results and balance sheet position. As they get started, I want to remind our investors that our statement of operations reflects investment in preparation for larger commercial rollouts in the coming years for Ondas Networks and American Robotics. The bulk of the revenue for the period presented has been generated by product development programs with Siemens in addition to FullMAX system deployments with customers, including the Class I railroads and or network systems. Of course, we believe this activity has served to establish the broader opportunity and will lead to significant growth in FullMAX-based wireless systems and Scout deployments in the coming years. For the second quarter of 2022, revenues were $600,000. This was a decline of several hundred thousand dollars from Q2 last year. The bulk of the revenues during the recent quarter were generated by product sales in the rail sector, including for the MC-IoT Rail lab purchased by MxV Rail. In addition, we realized product development revenue for the Siemens Head of Train programs in both the Asia and North America, 450 megahertz programs during the quarter. Gross profit, however, remained roughly the same year-over-year as we posted higher gross margin at 52.7% this quarter as compared to 34.6% for Q2 2021. As we have described in prior calls, due to the historically lumpy nature of development programs and customer product sales, gross margins can be volatile on a quarterly basis. The higher gross margins this quarter reflect the benefit of a larger mix of equipment sales during Q2 as compared to the prior year. Operating expenses increased to $11.6 million for the second quarter of 2022 as compared to $3.4 million in the 3 months ended June 30, 2021. The increase in operating expenses primarily due to spending for both American Robotics and Ondas Networks. Is important to note that our acquisition of American Robotics occurred on August 6, 2021. Therefore, American Robotics expenses are not included in the comparable second quarter 2021 results. Noncash expenses totaled $2.8 million for the first quarter of 2022. Stock-based compensation was $1.5 million for the second quarter. That increased by approximately $1.2 million from the prior year. Depreciation and amortization expenses increased from $165,000 in Q2 2021 to approximately $1.3 million in the second quarter of 2022. The bulk of the increase in noncash expenses is related to the acquisition of American Robotics. The company realized an operating loss of approximately $11.4 million for the second quarter of 2022 as compared to $3.1 million for the second quarter of 2021. As noted, the increase in both cash and noncash expenses related to the business development activity and the addition of American Robotics operating expenses, which were not included in last year's results were the biggest driver of the year-over-year increase in operating losses. Let's move on to the first half of 2022. Revenues were approximately $1 million as compared to approximately $2.1 million for the first half of 2021. The revenue decline was primarily due to lower product development activity with Siemens, offset by product sales to rail customers or network systems initial nationwide network deployment was recognized in the first half of 2021. Gross profit decreased by 52% to $440,000 as a result of lower revenue for the first half of 2022 as compared to approximately $900,000 for the first half of 2021. Gross profit on a percentage basis was approximately the same at 43.5% for the first half of 2022 as compared to 44.6% for the first half of 2021. Operating expenses increased to $21.8 million for the first half of 2022 as compared to $6.9 million in the first half of 2021. The increase in operating expenses was primarily due to increased business development spending for both AR and Ondas Networks. I will highlight again that American Robotics operating expenses are not included in the statement of operations for the first half of 2021. Noncash expenses totaled $5.2 million for the first half of 2022 as compared to $2 million for the first half of 2021. Stock-based compensation was $2.9 million in the first half of this year that was an increase of approximately $1.2 million from the first half last year. The depreciation and amortization charges for the first 6 months of 2022 were approximately $2.3 million, and that compared to $345,000 for the first 6 months of 2021. The company realized an operating loss of approximately $21.4 million for the first half of 2022 as compared to a loss of $6 million for the prior year. As noted, the increase in both cash and noncash expenses related to business development activity and the addition of American Robotics operating expenses, which were not included in the first quarter of 2021 were the biggest drivers of the increase in year-over-year operating losses. Now let's turn to the cash flow statement. The company has maintained a strong balance sheet and ended the first half of 2021 with approximately $28 million in cash as compared to $32 million at the end of March 2022. The decline in cash and cash equivalents was primarily due to spending related to research, product and business development Ondas Networks in American Robotics as well as the building of Scout systems. We also made a cash payment of $900,000 in April of 2022 to complete the acquisition of Ardenna. These investments were offset in part by capital raise via the aftermarket or ATM facility we put in place in the spring. During the 3 months ended June 30, 2022, the company raised an additional $6 million via the ATM, and they did -- we did this at an average price of $7.17 per share. Now let's turn to the balance sheet. As described, we have a healthy cash balance of $28 million at the end of the most recent quarter. We have just $300,000 of long-term debt and a $105 million equity position. The equity position represents substantial investments we have made in our FullMAX and Scout technology platforms. We can now transition to an update on business development activity at Ondas Networks and American Robotics. I'm going to ask Stewart and Reese to provide details on the progress we are making at both segments. Before I do, I'm going to start by highlighting that our business plan is on track, and we believe we continue to create significant shareholder value as we work with customers to adopt our technology platforms. Ondas Networks continues with important launch activities with the Class I rails. And of course, we continue to work closely with Siemens Mobility here. The Siemens order is validation that we are well positioned to penetrate the global rail market with FullMAX. In addition to the Class I rail activity, we are seeing expanded market opportunities in transit and passenger rail as well as in international rail markets and we are also gaining traction in new markets such as Homeland Security. At American Robotics field activity with marquee franchise customers continues, and our pipeline of new customers is maturing. We have also continued to enhance our data solutions via new payload integration and the development of new data analytics packages. We are pleased with our Dynam partnership, which is helping create value in the field with customers. Ensure, AR is on track with this business plan and is preparing to grow with its franchise customers. I'm going to hand the call now to Stewart. Stewart?
Stewart Kantor: Great. Thank you, Eric. As Eric mentioned, it was an extremely productive second quarter for Ondas Networks, and we continue to make significant progress in Q3 to date. I'll begin with a strategic update on the process several of the rails are using to transition from the legacy 900 megahertz ATCS network to the new Internet protocol-based multi-application dot 16 network. This network evolution, which has already begun, is transformative in nature. The new wireless architecture based on our FullMAX platform adds the needed data capacity and application flexibility for the Class 1 railroads to transition from the single-purpose ATCS network to an Internet protocol-based multipurpose network capable of carrying data for ATCS and the plethora of additional applications such as interlocking, high rail and yard automation to name just a few. For the customers with legacy ATCS, the transition typically starts with next-generation ATCS equipment, which is backwards compatible with the legacy platform and fully supports the transition to the new 900 megahertz frequencies. And as the software-defined protocols are switched to MC-IoT functionality, the new multipurpose networks become live. It's important to note that many of the applications of interest to the Class Is are currently being tested in the Federated MXV Rail Lab, which ensures a smooth transition and adoption process by the rails. From here, over time, the rails plan to increase the densification of the network with the development of more and more Ondas Siemens Edge radio devices. And as a reminder, the legacy ATCS network frequencies must be retired by 2025. And we believe the transition to the new dot 16 network will occur even earlier with some Class 1s targeting the end of 2023. As most of you know, for some time now, we and Siemens have been intensely focused on pulling through customer demand for the 900 megahertz build-out. We're pleased to highlight on today's call that we have now received the volume order from Siemens for the Class I rails. This order includes a diverse mix of our jointly developed and catalog products. The Siemens order is the most substantial order in Ondas' history, and we deeply appreciate the hard work and dedication from both the Ondas and Siemens teams in achieving this significant milestone. To highlight, we are now active with 5 of the Class 1 rails in various launch and prelaunch activities as outlined on this slide. Also, in addition to the progress on the 900 megahertz network, we expect to receive our first major order for the Asian HOT market in Q3. We continue to expand our addressable market with new rail networks, new products and new markets. The activity with the 450 megahertz HOT development programs in North America and Asia is on track and wrapping up. We believe the order from Siemens for the Asian market is imminent based on their required contractual delivery times to the customer. And as announced in June, we signed an LOI with Siemens to develop a new locomotive radio platform for the European rail market. We plan to provide further details on this program in the next few months. Also, in Q2, we completed the construction and delivery of the MC-IoT Federated lab. The current plan is to transfer the lab to MXP Rail headquarters in Public Colorado by the end of August. We've also identified significant new opportunities in the North American passenger and transit markets, the details of which we plan to share in the coming months. And lastly, we delivered a wireless communication system for a maritime perimeter security application in the Caribbean on behalf of an Israeli defense contractor. This is a new market application for public safety and security markets related to maritime borders and harbors, and we expect more deployment opportunities with this Israeli defense contractor in international markets. This concludes my prepared remarks. I want to hand the call to Reese and look forward to the Q&A period. Reese?
Reese Mozer: Thank you, Stewart. First off, I'd like to welcome the entire Airobotics team to the Ondas and American Robotics family. This is a powerful combination of 2 industry leaders that results in expanded market opportunities, investment and spending efficiencies and accelerated growth. I will share more on that later. Before getting into all of the company progress updates, I think it's important to remind everyone of the market opportunity that we are pursuing. The global commercial drone market is estimated to become roughly $127 billion annually at scale. And of that $127 billion, we estimate that 90% of that opportunity requires government approved, field-proven autonomous drone-in-a-box systems to be practical and scalable. That translates into over 10 million asset sites worldwide that will eventually have the need for the American Robotics Scout system, the Airobotics Optimus system and related products. And so we must view this technology in the same way that we would look at the smartphone market just before the commercial release of the first iPhone in 2007. Yes, people had cell phones before 2007, but they would share only a few similarities to how we view that term today. The same goes from manually operated drones versus autonomous drugs. Now we differ from that analogy is that most of these markets for autonomous drone-in-a-box technology involve mission-critical and safety critical operations with large customers who have the need and intent for fleets of systems. And to bring this up because it is important that we take the proper steps as an organization to ensure product integration and safety are demonstrated thoroughly. To that end, I'd like to share progress updates with our customers. With Chevron and Conoco, we've sent the last month's field testing, environmental testing, defining requirements, integrating new payloads, developing analytics, performing safety analyses and improving their sites for automated BVLOS operations. Next steps for Chevron are continuing field testing, additional use case discovery, additional payload integration, additional analytics development and integration into their company APIs. For Conoco, the initial field testing is complete, and we are currently in discussions with several corporate groups on the next steps of development, testing and integration. With stockpile reports we spent the last month conducting field tests, integrating with their APIs and improving their site for automated BVLOS operations. Next steps are increasing the daily flight cadence and choosing additional sites to request from the FAA for automated BVLOS approval. I also like to highlight the revenue opportunity we are pursuing within each of these accounts. For Chevron, we estimate a potential annual value of over $200 million with a full fleet rollout. For Conoco, that number is $70 million and for stockpile reports, that number is $30 million. These numbers are a helpful reminder of why we currently focus on customer service and customer success as opposed to nationwide marketing and sales. The time for that type of exponential growth will come, but succeeding with a handful of customers and then duplicating that blueprint for success, often referred to as land and expand is the wise path to take with this type of complex business-to-business sale. In the past quarter, we've also added 2 new customers to the portfolio. Scotts Miracle-Gro, the largest lawn and garden company in the United States is using the Scout system at their headquarters in Ohio to perform plant health analysis and announcing for the first time on this call and other entrance into the both materials and mining sector for American Robotics, Nevada Gold Mines, the single largest gold producing complex in the world. Nevada Gold Mines is a joint venture between Barrick Gold and Newmont Mining, and they will be using the Scout system to autonomously measure the daily gold production using photovometric and volumetric analysis. We also expect to announce 2 new large oil and gas customers by the end of Q3. These customers have stated the same system requirements as that which we have been developing and testing for our other customers, so we anticipate successful engagements with both. Beyond that, we have additional customers in the pipeline and then we look forward to sharing once contracts are signed. To enable customer growth that I just shared and ensure a transition to fleet orders, I'd like to highlight some of the progress on our product road map, enabled by our talented team and partners. In July of this year, we announced 3 new product features as a direct result of our close engagement with customers. We now offer 2 new payload advancements, high resolution RGB and high resolution thermal. These were requested by our oil and gas customers to enable the detection of additional details on their field sites and help enable additional analytics features. As a bonus, these improved payload options are also applicable to most other target markets. We also announced our first AI-powered analytics feature as a result of our partnership with Dynam.AI. Using computer vision and machine learning the Scout system can now autonomously detect oil leaks and spills a critical use case requested by the oil and gas market. These loss of containment capabilities will enable oil and gas customers to minimize environmental risks, cleanup costs, fines and litigation expenses. I'd also like to highlight the continued and expanding regulatory leadership demonstrated by American Robotics, a bedrock for the commercial viability of this company and this technology. As everyone knows, in January of 2021, we became the first company authorized to operate beyond visual line of sight without any humans present on the ground and approval we summarized as automated BVLOS. This approval is a nonnegotiable element to successfully operating autonomous drone-in-a-box systems and providing scalable value to customers. And despite the understandable confusion, we remain the only drone manufacturer to hold this type of approval. As a result of that achievement, the company was rightly catapulted to national recognition. In July of last year, we were invited to participate in the FAA's BVLOS Aviation rulemaking Committee. In April this year, we received approval for 7 additional operation sites, bringing our total to 10 sites across 8 states. In July of this year, we received another milestone approval permitting expanded BVLOS operations. We expect to publicly announce the details of this new authorization in the coming weeks. And last week, we were invited to participate in the first White House Summit on Advanced Air Mobility and historic meeting of industry, government and academic leaders with the purpose of setting drones and air taxis as a national priority. We also anticipate more regulatory achievements in Q3 and Q4 of this year, including the removal of a market survey restriction that permits unlimited commercial operations and the granting of additional customer sites for automated BVLOS operations. As you will notice from this slide as well as the previous ones, there is increasing cadence of news and milestone announcements, both in Q2 and projected over the remainder of 2022 and beyond. We anticipate this cadence growth to continue, being customer news, product roadmap news or regulatory news as a direct result of our investments over the past year and the subsequent head count growth. And this falls in line with our original business plan stated at the time of acquisition, where our initial focus was to be on team growth and company maturity as a foundation for accelerated customer and revenue growth. Lastly, I'd like to share our perspective on the significant short-term and long-term benefits of the Airobotics acquisition. Airobotics has raised and invested over $130 million into their technology from some of the world's top institutional investors, making them one of the best funded companies in the world and the top funded drone-in-a-box company to date. As a result, they have developed a portfolio of intellectual property that is complementary to ours and a product that is incredibly mature. With this acquisition, not only will Airobotics help reduce redundant R&D spend and expand revenue opportunities with a new product line targeted at different markets, but we can also transfer the missing pieces of regulatory technology to Optimus, thus enabling the same type of automated BVLOS operation that the Scout system can conduct. In other words, this is a powerful of leaders that simultaneously enhances both product lines and expands the collective market opportunities of the combined company. Additionally, Airobotics has already put significant effort into FAA type certification, a feat which no drone company in the United States has yet achieved and a process which AR expects to eventually undergo for the Scout system. Type certification for drones, which enables mass production and flight over people is currently very opaque, complicated and expensive, and aerobatics experience in this will significantly reduce our spend for future generations of the Scout and likely accelerate our time line from application to granting down the road when we find it advantageous to secure type certification for the scout system. And as I think on the we also see additional opportunities to apply Ondas Networks radio technology to the Optimus platform as we are currently doing with the Scout system. This concludes my prepared remarks, and I look forward to the Q&A part of this discussion. And I will hand the call back to Eric.
Eric Brock: Well, thank you, Reese. Now let's turn and summarize some of our key business objectives for 2022. We continue to expect Ondas Networks will generate orders this year from at least 5 railroads, and we are maintaining our goal of at least $20 million in bookings. Importantly, the initial Siemens volume order is equal to more than 25% of our bookings goal. Of course, we are tracking a larger pipeline and expect additional orders and broader rail participation over the second half of 2022. I will remind that this bookings target is a significant component of our compensation plans at Ondas Networks. In addition to platform product sales, we have additional product development opportunities in our pipeline with existing partners and maintain the target for $3.5 million in new programs. We have already announced the European product development with Siemens. So America Robotics, the key targets include securing orders from at least 10 customers and for at least 20 Scout systems by the end of the year. In addition, we are also targeting at least 1 customer reorder for fleet deployment by the end of 2022. And lastly, for AR, our success with customers comes down to partnering, partnering with customers to develop solutions that are valuable yet complex. We are working to secure at least one formal partnership with the customer in 2022. I want to remind our investors that we are working closely with customers and business partners to achieve these goals. Of course, the timing of Ondas Networks product and development program bookings as well as customer activity for American Robotics and the Scout system is subject to uncertainty. Regarding the outlook for Airobotics, we plan to provide additional details of the Airobotics opportunity and business plan at a later date as a conditions for closing become narrow. I will note that Airobotics has an impressive customer pipeline, and we believe we are positioned to accelerate customer activity together. So stay tuned. To continue the outlook, I want to reiterate that our balance sheet remains healthy and our cash position is strong. We expect cash OpEx of about $8 million to $8.5 million for the third quarter. And again, we have access to capital and the ATMs facility will be an efficient mechanism to fund incremental growth we have outlined today. As we highlighted, the Airobotics acquisition offers significant strategic value to Ondas. In fact, we believe this will be considered a seminal event in the unmanned industry. Across the UAS ecosystem, we see many companies who are small under-resourced and undercapitalized. This results in parallel efforts and redundant investment in scale to deliver for customers in the field. With technology maturing, regulatory challenges being meant an end-to-end solutions hardening, we believe the growth of the drone economy is poised to surge in the coming years and scale will become increasingly important. Scale is a critical importance to the sophisticated blue-chip customers who will drive demand in the coming years for the complex automated drone systems we provide. The winning companies must be able to make the investments in autonomy, payloads, data analytics and field services to meet the requirements for these customers. We believe that in this process, customers, talent and importantly, capital will migrate to the leaders who are capable of providing this required business scale to the market. We are positioned Ondas Networks and AR to be a leader in these markets, which because of their complexity and their data-intensive nature, lend themselves to winner take most outcomes. We believe this is the right strategy for Ondas because leading UAS platforms are valuable. Virtually any market survey you will find will confirm the drone economy is huge with TAMs measured in the many billions of dollars. We see that the UAS market has large submarkets, which require different technology platforms, business models and are presented with differing regulatory challenges. Again, complexity is found in virtually all these markets, and we are now seeing leaders emerge, some who we have outlined here for illustrative purposes. For example, and a handful of others are leading the UAM or so-called flying taxi segment. Andrew is innovating at an exponential clip in defense markets. Zipline is competing for the large package delivery market and Skydio, has staked out a lead in certain consumer industrial and defense segments. All of these leaders command billions of dollars in market value and are backed by sophisticated investors. And to be clear, we believe the commercial markets targeted by America Robotics and Airobotics may ultimately prove to be the most valuable of all drone segments. Our end markets are characterized by data-intensive industrial and infrastructure applications in addition to security and other government leveraged services. We also believe the regulatory challenges in the markets we target maybe sell sooner than in the other segments. We believe the rewards for winning in the segments we compete will be significant for our investors, which helps you understand why we are being so deliberate in our growth plan with American Robotics and why we are acquiring Airobotics. We believe we have a significant opportunity to get to the next level to establish and extend a commanding lead with our automated drone platforms. This was a long call, and I wanted to get into the Q&A, so I'm going to wrap the call by simply stating, we are on track at Ondas Networks and American Robotics. Our opportunities are growing, and we are investing to win. This is not the time to be timed. This is the time for us to seize opportunity and deliver solutions to our customers and shareholders, and that's what we are planning to do. Operator, please open the call for Q&A.
Operator: [Operator Instructions] Today's first question comes from Mike Latimore with Northland Capital.
Unidentified Analyst: This is Adithya on behalf of Mike Latimore. Could you give some color on if the possible recession would that have an effect? Would it along in the sales cycle for drones?
Eric Brock: I'll take that initial answer, and then I'll ask Reese to expand. But we don't see that as necessarily being a bottleneck. The work we're doing in the field is with innovation teams who are focused on creating and identifying and creating long-term opportunities for investment in new technologies that make their businesses more productive. Reese, would you add anything?
Reese Mozer: Yes, that's all correct. The industries that we target are really critical ones that we don't think they haven't flow as much in this regard. And ultimately, our product is about saving them money and bringing back new efficiencies with their labor and with their production. So far, we have not seen any indication of that.
Unidentified Analyst: All right. And then regarding the Airobotics acquisition, I think you mentioned you had 40 people over there. Could you tell me or way of those are in the R&D space?
Eric Brock: I don't have a precise figure, but I would say at least 2/3 of them.
Unidentified Analyst: All right. And have you had any trials or bookings from Ardenna?
Eric Brock: We don't have any bookings to announce. However, there is quite a bit of interest in business development activity, and we'll let you know when we do secure business.
Operator: [Operator Instructions] At this time, we are showing no further questioners in the queue, and this ends the question-and-answer session. I would now like to turn the conference back over to Eric Brock for any closing remarks.
Eric Brock: Okay. Well, I want to thank everyone for joining us this morning. As you know, we've got a lot on our play here at Ondas and AR, and we're going to go back to work. So we will be staying in touch and look forward to chatting again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.